Sonwabise Mzinyathi: Well, a very good morning, ladies and gentlemen. Welcome to the Exxaro 2024 Financial Year End Results. A warm welcome to those of you watching from our LinkedIn page. My name is Sonwabise Mzinyathi. I am the acting Chief Investor Relations and Liaison Officer for Exxaro, and I have the pleasure of facilitating the engagements for today. As you know, at Exxaro, we always begin our meetings with the safety briefing. Therefore, please pay attention to the following. We have not planned any emergency drill for today. If for some reason, the alarm is activated, please remain calm and exit the building using the emergency exit doors. The assembly point is in front of the building, and this is where the roll call we will be conducted. We will all remain at the assembly point until the instructions are issued to reenter the building. In the event of this situation, please note that visitors should always be accompanied by their host. For our bathroom facilities, when you step outside the auditorium, turn to your right and then first left, the restrooms will be on your right-hand side. Smoking is prohibited inside this building. There are smoking areas allocated outside of the building. In the event of load shedding or power outage, please do not panic as we have generators on site, which will kick in within three minutes starting with the emergency lights, plugs and then the Wi-Fi. Please note -- please take note of our disclaimer. Our agenda for today will cover our group performance overview, coal operational performance, group financial performance, and finally, we will provide our outlook for the year 2025. Our speakers for today, to my right is Riaan Koppeschaar, our acting CEO and Finance Director. He is joined by Mervin Govender, our acting Chief Coal Operations Officer; Later on, you will also hear from Leon Groenewald, who is our Managing Director for Energy. With that, over to you, Riaan.
Riaan Koppeschaar: Thank you, Sonwa. Good morning, ladies and gentlemen. A special welcome to members of the Board present here today and the pensioner's club whose support we always appreciate. As you know, I've been acting as the CEO since the 4th of December last year, following the precautionary suspension and the subsequent resignation of the CEO. As you saw this morning, the Board has appointed a new CEO, Mr. Ben Magara, Ben is also here with us, Ben you can perhaps put your hand up. But just on serious matters, so as displayed, in the past few months, the Board takes it fiduciary duties overseeing the activities of the Company very seriously. And our stakeholders are assured that Exxaro will take the appropriate steps to investigate all allegations whether received from our tip offline or directly to us as management or other channels within the organization. As you've also been informed by the Board, our Chief Coal Operations Officer, Mr. Kgabi Masia is still under precautionary suspension, pending an independent investigation by the law firm, Bowmans. So to reiterate the Board's view, this is a suspension and neutral act that presumes no outcome, but it does allow an independent investigation to proceed unhindered. While that process unfolds, the business of Exxaro is, however, continuing and therefore, allow me to also introduce Mervin Govender. Mervin is the acting Chief Coal Operations Officer. So Mervin has been with Exxaro for more than 20 years, and he has run several of our operations successfully including, as General Manager of the Grootegeluk Mine. Mervin also was part of the team that successfully implemented the ZAR20 billion project pipeline that culminated in the commissioning of Belfast mine, among other critical operational projects. He's got a rich background over 30 years experience in mining, engineering, mineral separation and smelter industries. And before coming into this current role, he was our general manager for group projects. So we welcome him to the team, and I'm confident that under his leadership, our coal operations are in capable hands. So as the saying goes, we cannot direct the wind, but we can certainly adjust our sales in order to reach our desired destination. This has been the underlying theme for the past financial year as our business remained resilient, strategically adapting to the many market headwinds that came our way. We can all agree that 2024 was a year of mixed global sentiment and nearly half of the world's population went to the voting polls, leading to major shifts in global and country-specific politics. We also saw that evolving geopolitical and economic tensions are leading to increased fragmentation in the global economy. Inflation and monetary policy saw significant developments as global disinflation continued, which led to a pivot in monetary policy with central banks easing interest rates to boost economic activity. Back in South Africa, headline earnings inflation averaged 4.4%, down from the 5.9% in 2023, driven by a moderation in Brent crude oil prices, the marked strengthening of the rand and overall broad-based disinflation in fuels and goods. While headline consumer and producer inflation rates declined, the benefits of lower inflation have yet to fully offset the cost escalations we are seeing. The rand also remained volatile against the dollar as can be seen in the graph, ending the year at a level of ZAR18.71. In South Africa, the peaceful completion of the May elections last year and the formation of the government of National Unity led to an improved local consumer and global investor sentiment fostering cautious optimism for economic growth. Coming to rail operations. They continue to face challenges, including theft, unavailability of locomotives and infrastructure deteriorating. And we recorded three derailments affecting volume throughput for the first half of the year. So despite these challenges, Richards Bay Coal Terminal exported 52.1 million tons compared to 47.2 million tons in 2023, and this was driven by an improved TFR performance in the second half of the year. So as a result of that, the Exxaro evacuated exports through RBC 2 amounting to 5.2 million tons, up from the 4.6 million tons in 2023. 1.8 million tons were exported using alternative export channels. So this is an increase from the 479,000 tons that we witnessed in 2023. Now looking at coal offtake. Eskom's 2024 performance improvements. That included a 7.6% rise in the energy availability factor and 323 days without load shedding that have given us a more stable demand and operational predictability. Performance trends of the commodity markets have varied between the first and second halves of the year. Thermal coal started the year under pressure and strengthened whereas iron ore started strong and lost momentum as the year progressed. So overall, Exxaro's commodity markets delivered softer performances in 2024 with lower average reference prices for thermal coal and iron ore. This context and operating background then leads us into the financial performance for 2024. We are pleased to announce that we had no fatalities in 2024, with our lost time injury frequency rate sitting at 0.06 for the group. Safety will be discussed in more detail later on. So our operations delivered a solid performance while navigating external factors within the operating environment. In line with our guidance that we gave previously, coal production reduced by 7% to 39.5 million tons for 2024 down from the 42.5 million tons in 2023. The decrease in production was largely driven by lower Eskom demand at our Grootegeluk Mine. Notably, Belfast Mine, the production improved by 21% to 3.5 million tons after completing a full year of production. This was also a record production achievement at the Belfast mine. As pointed out, export sales increased by 37% year-on-year to 7 million tons driven by the use of alternative distribution channels and TFR's performance, which did improve in the latter part of the year. However, as a result of the lower production and various cost pressures, our cash cost per ton increased by 32% year-on-year to ZAR638 per ton. Mervin will also unpack that in detail more later on. So looking at the market, the benchmark API4 RBCT export price average $105 per ton in 2024 compared to the $121 per ton in 2023, so a decline of 13% year-on-year. Despite the decline, Exxaro achieved a very strong 95% price realization compared to the 97% in 2023, but still above our target of 90%. This was a result of our effective market to resource optimization initiatives. On energy, synergies, operating wind assets generated 725 gigawatt hours of electricity compared to the 727 gigawatt hours in 2023, also in line with our guidance. Group EBITDA decreased by 22% from 2023 mainly attributable to the decrease in the coal EBITDA, while the adjusted equity accounted income decreased by 47% year-on-year and that resulted mainly from 45% lower equity accounted income from our investment in Sishen Iron Ore Company. Our financial performance will also be discussed in more detail later on. So headline earnings per share, therefore, decreased 36% to ZAR30.16 per share for 2024 and our return on capital employed is sitting at 23%, still above our internal target of 20%. Due to the strong cash generation in the business, our net cash position increased to ZAR16.3 billion, excluding the energy project financing compared to the end of 2024, where the cash was sitting at ZAR14.8 billion. Finally, I'm very pleased to announce that the Board of Directors has approved a gross final cash dividend of ZAR8.66 per share for the year ended 31 December 2024. And given the net cash position at the end of the year, the Board of Directors has also resolved to embark on a share repurchase program of ZAR1.2 billion, subject to the prevailing market conditions at that point in time. If we move on, so at the heart of everything we do, in Exxaro, is our people. So we prioritize wellness and safety always, ensuring that all our employees return to their families safely every day. This is done through incredible safety leadership, effective communication, consequence management, training and also risk management and our goal of zero harm definitely remains attainable. So at the end of the financial year, the group reached a significant milestone completing 28 consecutive months without a work-related fatality. We've also reached other notable fatality-free years by our operations as indicated in this slide. Then due to a focused strategy, Exxaro's lost time injury frequency rate has also maintained a downward trend since our inception, and we end the year with a lost time injury frequency rate of 0.06 down from the 0.07 in 2023. This does not only highlight the effectiveness of our safety strategy to date, but also highlights the dedication and commitment of all our employees towards safety. And on this note, I would like to congratulate all our employees out there, whether you're at the connection, whether you're at the business unit for reaching these remarkable milestones. Sustainable impact remains at the core of the Exxaro business and delivering meaningful socioeconomic value is integral to Exxaro's purpose of better lives in Africa and beyond. So our efforts focus on addressing unemployment, enhancing education and enabling infrastructure development to empower our host communities and also to drive inclusive economic growth. As at the end of December, we're proud that group social investments amounted to ZAR2.1 billion. The local procurement of black, small, medium and micro enterprises supported 562 organizations through enterprise and supplier development initiatives. We are also making a meaningful impact in our host communities by investing in education. So our early childhood development programs benefited more than 2,700 children, more than 40 registered early childhood development centers and over 180 teachers through professional training. Also very proud in January of 2025, we handed over the newly built Martina Kekana school hall. It's a block of four classrooms and associated external upgrades to the Nelsonskop Primary School in Lephalale, benefiting more than 1,500 children and also teachers. This was at an investment of more than ZAR20 million that also boosted the local economy through local company participation and job creation. With finite mine life, we are also reimagining the sustainability of our communities ensuring that they continue to thrive beyond the life of mine by creating post-mining economies. We do this through our mineral succession program, which grants emerging farmers access to rehabilitated and surplus mining land for agricultural and commercial ventures. So at the end of 2024, our mineral succession program had more than 10,000 hectares of land under management, and we provided more than ZAR63 million in funding towards 36 farming projects across six provinces in South Africa. Exxaro is also champion diversity, equity and inclusion and has maintained its value proposition as an employer of choice. So as such, Exxaro has once again received recognition from the Top Employer Institute as a 2025 Top Employer. We also aim to go beyond compliance. And for the past six years, we are proud that we've consistently achieved our mining charter-free employment equity targets. Furthermore, a big milestone in 2024, we also signed a new three-year coal wage agreement with our trade unions, demonstrating the strong relations built on trust and mutual respect. Then coming to our BEE or empowerment transaction, a big milestone for us. We are very pleased to announce that our major anchor shareholder, Eyesizwe, have signed a separate waiver and undertaking in favor of them to maintain the current 30.8% shareholding in Exxaro until December 2027. This is a significant milestone, which ensures that Exxaro remains its empowerment level and status as one of South Africa's largest and foremost black empowered and diversified listed mining companies. This also demonstrates the long-term relationship with them and also the confidence that they have in the Exxaro strategy going forward. So very pleased about that. At Exxaro, we also maintained our Level 2 BBBE status against our set target of three. When it comes to diversity, we're also committed to safeguard biodiversity through targeted initiatives, including species relocation, wetland rehabilitation, invasive plant management and implementing conservation projects that protect the native flora and fauna across our operations. Our impacts on diversity are further enhanced by strategic partnerships with conservation organizations and communities. Furthermore, we're also proud that the development of our decarbonization road map has now been achieved. This is critical for the business as it maps out our short, medium- and long-term decarbonization approaches, essential towards our objective of reaching carbon neutrality by 2050. I will explain and expand on this in the next slide. So we are decarbonizing today to secure a sustainable tomorrow. So this road map presents a comprehensive framework that summarizes our key milestones, our strategic initiatives and the technologies necessary for Exxaro to achieve carbon neutrality by 2050. The road map provides a clear pathway to a low carbon future and its implementation is critical to Exxaro's operational resilience. We remain agile in our approach, and we will continue to regularly review and update the road map in line with the evolving technological and innovation landscape. So from a 2022 base, we're targeting a 40% and 75% cumulative reduction in Scope 1 and 2 emissions in 2030 and 2040, respectively. We will achieve this through renewable energy initiatives, as pointed out, and also equipment and fleet optimization technology. We believe that through this road map, we are well on our way to becoming carbon neutral by 2050, and contributing to an impactful transition in South Africa. So now, I will hand over to Mervin to take us through our coal operational performance results. Thanks, Mervin.
Mervin Govender: Thank you, Riaan. I'm really excited to be part of the coal team again and to put my coal boots on once more. We are going to create real value for our stakeholders through coal and to support our strategy and be part of a transition to a sustainable future. We continue to start with -- before we continue to -- with the presentation, I think it's absolutely important that we talk about the mining industry, okay? The mining industry has had experienced tragic losses to about 42 fatalities, six of them coming from coal. And our heartfelt condolences go out to the families and friends who lost their loved ones in the mining industry. We are grateful to report that we have been fatality-free for 28 months in a row. Our mines are performing extremely well regarding fatality-free years. However, we have to stay focused on everything and everyone and make sure everybody gets home safely every single day of our life. Operationally, we created value by realizing a solid EBITDA performance despite a decreased price, volume pressures from constraint offtake as well as logistics performance. Among all of this, we were able to export 7 million tons and maintained an extremely good price realization of 95%. The lower demand and increased exports negatively impacted our unit cost. We also adapted our sustaining capital spend in line with market demand. I look forward to 2025 to work with the coal team and to deliver exceptional performance consistently. Now let's dive into our performance. We had an outstanding year in realizing our sustainable impact performance and exceptional achievements in this area, as already mentioned by Riaan in his opening slides. Now looking at safety. Safety is the leading priority in our business and improved safety outcomes across the business remains a continued and collective responsibility. We are revitalizing our safety strategy to maintain the current performance, which we will launch at our CEO Sustainability Summit this year in April. Overall, we have seen a good safety performance with a reduced year-on-year lost time injury frequency rate and the lower number of high potential incidents. We continue our safety drive to achieve our internal target of 0.05. Our leaders will be spending more time in the field, engaging employees and having quality interactions through visible fellow leadership as part of our employee well-being strategy. We continue to drive the health and wellness of our employees for their employees to stay physically, mentally, psychologically and financially fit in our business. We continue to build results-driven and agile teams. I would like to highlight some noteworthy achievements in our environmental performance demonstrating our dedication to sustainability. We have seen a 6.4% improvement in carbon intensity. Our water intensity increased from 105 liters runoff mine to 140 liters runoff mine. This was due to sufficient water reserves stored in the pit at GG, enabled by the excessive rainfall during 2023 compared to the lower rainfall experience in 2024, similar to levels in 2022. We are still performing well below our targets of 180 liters per ton and still significantly below the coal benchmarking -- the coal mining benchmark of 380 liters per ton. Our rehabilitation efforts increased the area of rehabilitation land by 477 hectares, thereby increasing the percentage of land rehabilitated in the group by 7.2% to 26.2%. To give you an idea of what this looks like, this is equivalent to 670 soccer fields, okay? Where major environmental incidents are concerned, Level 2 and 3, we achieved zero incidents for both levels, which is an improvement from the one level two incident recorded last year at the Durnacol mine. We are pleased to report a 10.5% increase in community investments totaling ZAR2.1 billion. Of this, 83% was directed towards supporting black SMMEs through local procurement and enterprise supplier development. Riaan highlighted some of the successes in his stories and his slides. This is definitely a success story that enables great investment. We continue investing in a sustainable future for all stakeholders. Now I'll focus on our operational performance. We adapted our production and product levels to match market demand in successfully executing a market-to-resource optimization strategy. This remains key in our operating philosophy and assisted with managing our operations at optimal execution rates. We produced in line with demand demonstrating our ability to adapt to market conditions and align production and capital expenditure accordingly. The total product reduced by 3 million tons due to the following; the Eskom offtake was caused by various challenges. Although improvements were evident in the second half of 2024, the total offtake still reduced by 1.3 million tons at Grootegeluk. As our major customer, this had a significant impact on our production processes. The pit consolidation at Leeuwpan resulted in improved execution and optimized product mix with a reduction of 794 kilo tons. Although we have made good progress on the Leeuwpan optimization, this work is still not completed yet. And we remain committed to creating stakeholder value and ensure ongoing robustness of our coal portfolio. Matla, although at 152 kilotons lower production levels, really performed well, considering the ending of the Mine 2 short wall in May 2024. The lower production at Grootegeluk, Leeuwpan and Matla was offset somewhat by increased production at Belfast, amounting to 609 owing to the fact that this is the first full year of production cycle after the tragic fatality that we had in 2022. Mafube is performing well, and we are benefiting from the new box cut, resulting in an improved production of 126 kilotons. Our total sales decreased by 2.7% mainly due to Eskom impact as highlighted previously. This is, however, offset by the outstanding performance of 37% improvement on our export sales. We experienced an improved performance from TFR or Transnet Freight Rail in 2024. Given the challenging environment Transnet Freight Rail in the past, we have been working very hard to establish alternative routes to unlock value and move our coal into export markets. The 1.8 million tons exported via other ports assisted in debottlenecking the mines as far as possible at levels that still make financial sense. Our domestic sales decreased by 1.7 million tons mainly due to moving additional volumes at Belfast into the export market at better than FCA margins as well as challenging -- challenges experienced during the Leeuwpan transition as discussed earlier. We forecast sales to increase by 2 million tons in 2025, made up by the following; an increase of 1.3 million at Grootegeluk and improved Eskom offtake based on the return of Unit 4 at Medupi and normalized sales in line with domestic demand. A 700 kiloton increase in Mpumalanga sales, mainly driven by Matla increasing by 400 kilotons due to the ramp-up of Mine 1. Here, I also just need to recognize Eskom and thank them for the full capital approval as we can now see the benefits starting to reflect in the volumes. And in addition, Leeuwpan increased by 300 kilotons based on the good optimization work discussed above. Our market-to-resource optimization strategy, at optimal values, remain key in affecting the best production and sales mix options to remain competitive in the market where it makes financial sense. Although the decline in API4 price poses a challenge in selling our product through alternative ports, we continue to pursue this option to enable our operations as long as this makes business sense. We will continue to build on the success created in our market-to-resource optimization strategy, and to flex the business to adapt to our ever-changing macro environment. Next, we will discuss our performance in the export market. Here, you will notice the successful placement of our product in the right markets at the right quality, whilst realizing optimal value for our stakeholders. Now looking at the pie chart on the top right, you will know the following regarding our markets; sales levels to Asia and India have normalized and likely represent sustainable levels; the market positions are supported by good demand for our strong product portfolio. It is very pleasing that the percentage of sales to Europe improved with substantially higher absolute volumes as the total exports increased by 1.9 million tons. As previously indicated, the increased export volumes via Maputo and the placed pressure on our sales mix optimization in the short term, you will notice that the overall composition of our sales mix for 2024 was very close to that of 2023. We were successful in increasing our RB1 portion of the sales out of RBCT, which is 92% and marginally increased our overall portion of RB1 in total mix of 74%. We expect further improvements on this number going forward. We are also pleased that we're able to sustain a robust price realization of 95% despite substantial price pressures in most markets. The team continues to focus on finding solutions across numerous domestic and export logistics channels to further optimize our cost to these markets. We build our forecast on a sound foundation established through our agility in responding to changing markets and logistics challenges. Now let's move on to cost. I will now unpack the cost increase, the related contributors as well as the conscious decisions made to ensure our business remains profitable. As previously highlighted, the variability in offtake by the market is still with us and continues to challenge us operationally, where we are producing at 21% below our installed capacity. If we were to produce an additional 3 million tons in line with 2023, our cost would have been ZAR40 per ton lower in 2024. Nevertheless, we still created value during these volatile periods and are committed to seeing an improvement in 2025. As the offtake volume uplift mentioned in the interim results did not materialize, we continue to utilize opportunities to prepare our operations to be more responsive to the new changing reality by; one, focusing on equipment maintenance, exposing coal and ensuring that we are prepared for the increased demand as well as establishing alternative export ports, which are strategically important to us. The result -- this resulted in a total absolute production cost increase of 22% in against coal mining inflation of 4.9%. The main contributors of the cost increases are an increase of 1.9 million tons in export sales enabled by Enable Logistics Channels; Belfast producing for 12 consecutive months for the first time in three years and increased equipment maintenance as mentioned previously. I will now focus on the main contributors of the ZAR102 per ton increase in our production cost. As indicated by the shaded area in the bottom right graph, our rand per ton variance remained in line with our results in June 2024, except for the change in the rehabilitation cost. The main contributors being accelerated equipment and maintenance accounting for ZAR27 per ton, mainly at Grootegeluk, increased contractor cost of ZAR22 per ton, mainly due to Belfast producing for 12 months and moving additional overburden volumes to increase our coal inventory and enable product flexibility. Employee costs increased by ZAR22 per ton due to normal labor increases and the structural changes resulted from the technical support team being moved closer to our coal operations. There's an increase in logistics cost of ZAR54 per ton, assisting in exporting our product through alternative ports, but more importantly, leading to the establishment of our export routes via Maputo. As mentioned before, we are in the process of optimizing the Leeuwpan mine. This optimization resulted in reduced production volumes at improved qualities with the result in pit consolidation also impacting unit cost due to the establishment of the right pit liberation in the new mining area. Despite the increased costs, our commitment to use the best resources has allowed us to mitigate the impacts of market offtake, volatility and focus on performance and improvements in order to deliver on the expected increased demand in 2025. Our guidance to remain within the coal mining inflation will always be under pressure with lower volumes. However, we are committed to keep on improving in ensuring we produce optimal cost levels and ensure cost competitiveness. In closing, I will now take you through our capital expenditure. Our capital spend is portraying a good story and reflecting our commitment to invest responsibly and tailoring our capital spend to business requirements while still focusing on sustainable investments. We remain within our guidance provided during the December '24 FT pre-close. Our dedication to capital excellence is demonstrated through our ongoing evaluation and reassessment of the capital pipeline. As highlighted previously, this guarantees that our investments are aligned with meaningful business objectives, fostering a sustainable business model and creating long-term value. Our main projects remain the equipment replacement strategies and input conveying at Grootegeluk, together with license to operate infrastructure. We plan our sustaining capital investments to maximize returns. We expect demand to increase and our capital spend will align with this, still projecting an average annual spend of ZAR2.5 billion to ZAR3 billion in the coming years in real terms. Now in summary, we realized a great performance on the sustainable impact front, and we will refresh our safety strategy to sustain and improve our performance. We remain adaptable and agile to respond to the market conditions and meticulously manage our market to resource strategy, which is the foundation of creating stakeholder value. We continue with our focus on decreasing our cost to acceptable levels. We invest responsibly in sustaining capital to support and enable our businesses. We continue to review our coal portfolio, tested for robustness to increased stakeholder value. Lastly, I want to thank the operations teams at all our business units as well as our colleagues here at the connection for their outstanding performance, their adaptability and their perseverance during very challenging periods. Now, I will hand over to Riaan, who will provide a detailed overview of the financials. Thanks, Riaan.
Riaan Koppeschaar: Thanks, Mervin. It's good to see you back in your coal boots. We struggled to get him into a suit this morning. Morning. So to ensure comparability, the figures presented in this section are based on the IFRS results adjusted for headline earnings adjustments detailed in the additional slides. So, the high-level overview of the group results, depicts the performance of our managed operations in the first two graphs at the top. And as you can see, revenue increased by 5%, contrasting with a 22% decline in EBITDA. Income from equity accounted investments is highlighted in the top right graph, indicating a notable decline, mainly due to SIOC's contribution decreasing by ZAR2.8 billion compared to 2023. Equity income per investment is available in the additional slides. So despite operating a dynamic amid a challenging market conditions, we generated ZAR10.4 billion in cash as at the end of 2024, and we ended in a net cash position of ZAR12 billion, which we will discuss in more detail later on. This translated into headline earnings of ZAR30.16 per share. On this slide, it presents the performance of the Waterberg and Mpumalanga coal operations. So although revenue from both regions increased from 2023, EBITDA declined across Waterberg and Mpumalanga commercial due to various cost pressures and also external factors. So starting with the Waterberg, the revenue by ZAR67 million, driven by higher prices for the Eskom sales and increased export volumes. This was offset by lower export prices and reduced domestic sales. Despite this, EBITDA decreased by ZAR1.6 billion with inflation adding ZAR418 million to the cost base, adding pressure on our profitability. Operational cost increased as unpacked by Mervin earlier on. The rise in export volumes also resulted in higher distribution costs of about ZAR221 million in the Waterberg. Another factor impacting EBITDA was the change in rehabilitation liability, while it decreased in 2023 due to lower closure cost and a higher discount rate, the trend reversed in 2024 as a lower discount rate was used, and that led to a negative EBITDA impact of ZAR128 million. Then shifting focus to Mpumalanga. The Mpumalanga EBITDA declined by ZAR751 million despite a ZAR1.2 billion revenue increase. This revenue growth was largely due to higher export volumes, particularly from Belfast, while domestic volumes declined as we prioritized exports, however, lower coal prices tempered the revenue benefit. Cost pressures also played a role with inflation adding ZAR149 million to the cost base. Additionally, distribution costs added ZAR716 million as achieving the required export volumes, we made use of alternative logistic solutions at a higher cost. As Mervin discussed, operational cost at Belfast also increased as we mined there for the full year, further weighing on EBITDA. On a positive note, we had -- higher buy-ins from Mafube JV at lower prices, which provided some relief contributing ZAR100 million EBITDA uplift. However, a rise in the long-term closure cost for water, along with lower discount rates in 2024 increased the rehabilitation liability in Mpumalanga, negatively impacting EBITDA by ZAR197 million. The EBITDA for Matla, as you can see, remained very stable. Additionally, in 2024, we also benefited from an exploration right granted to a third party at our Moranbah South operation, contributing ZAR133 million to the coal EBITDA under the other bucket. Overall, these dynamics resulted in an EBITDA margin of 26% for the coal business. Moving then to Cennergi. Synergies, wind operations generated 725 gigawatt hours of electricity and the 2025 forecast stands at 719 gigawatts hours, demonstrating the consistency of the performance. Operational EBITDA, the margin remained stable at 80%, supported by the long-term offtake agreements with Eskom. Cennergi's project financing debt includes ZAR4.1 billion for the two wind farms to be settled by 2031 and ZAR1.1 billion for the Lephalale solar project, the debt drawdowns has started, and it will be fully settled by 2042. So both facilities are nonrecourse to the Exxaro balance sheet and hedged through interest rate swap. The LSP project remains on track, and we expect completion to take place mid '25 and it is expected to remain within the approved investment amount. As at the end of December, the total project cost incurred stood at ZAR634 million. So once completed, LSP is expected to reduce Grootegeluk Mine's Scope 2 emissions by 25%, and the electricity cost savings that we foresee in the second half of this year alone is about ZAR67 million. So on an annual basis, you can see ZAR150 million to ZAR200 million. So now let's take a closer look at the EBITDA analysis, starting with the price impact. So in line with the decline in the benchmark API4 price, export prices in 2024 were $17 a ton lower than in 2023. And additionally, the coal price realization relative to the index declined by 2%. This was partially offset by higher domestic market prices, which provided some support to revenue. Moving to the volumes. Export volumes increased by 1.9 million tons or 37%, reflecting our decision to utilize alternative logistics solutions in combination with the sales through RBCT, which grew by 13% in 2024. On other hand, sales at Belfast, on the domestic front, declined by 981 kilotons as exports were prioritized over local deliveries as well as also the power station offtake demand due to unplanned maintenance at Medupi and Matimba power stations affecting sales into the utility sector. We also faced inflationary pressure similar to the mining industry, which contributed to an increase in cost. Electricity costs rose by 14%, while labor cost increased by 6.7%, and other cost increases were in line with PPI at 7 -- at 3.1%. Diesel costs provided some relief decreasing by 6.3%, helping to offset some of the inflationary impacts. Beyond inflation, other cost factors also influenced EBITDA. As pointed out selling and distribution costs rose by ZAR1.4 billion primarily due to the higher export volumes and the use of alternative logistics solutions. Operational cost increased by ZAR1.1 billion as discussed by Mervin earlier on. Additionally, rehabilitation costs had a negative variance of ZAR289 million, driven by external assessments in 2024 whereas in 2023 -- whereas in 2024, the combination of higher post-closure water cost and unfavorable discount rate negatively impacted cost. The foreign exchange impact was also negative, with the stronger rand-dollar exchange rate weighing on the revenue and foreign debtor and cash balances. Finally, looking at general cost, insurance expenses increased as a once-off ZAR375 million benefit recorded in financial year 2023 from the accounting treatment of a new insurance product did not recur in 2024. Additionally, social impact spend increased, reflecting the Company's commitment to broader community engagement and corporate responsibility. Now let's review the cash generation and capital allocation strategy. So our capital allocation framework remains focused on maintaining a net debt-to-EBITDA ratio below 1.5x, excluding project financing, providing flexibility for future growth while maintaining a strong balance sheet. So for 2024, our net cash inflows totaled ZAR11.7 billion, which included ZAR7.8 billion from our own operations, demonstrating the robust cash generating ability of our core business. Additionally, we received ZAR3.7 billion in dividends from SIOC and ZAR137 million from our Mafube JV. This also further strengthened our liquidity position. In line with our capital allocation framework, we directed funds toward key areas. ZAR2.2 billion was allocated to sustaining operations and support functions, ensuring the ongoing efficiency and the reliability of our assets. A significant ZAR8.3 billion was paid in dividends reinforcing our commitment to shareholder returns. This included ZAR4.6 billion from our own managed operations and ZAR3.7 billion from the SIOC pass-through dividend. Under other allocations, we accounted for ZAR360 million in deposits with insurance providers and ZAR321 million for acquiring shares to settle vested share-based payment schemes. As a result, our closing cash position as at the end of December stood at ZAR16.3 billion, excluding the Energy segment's net debt of ZAR4.3 billion. We also ensured that the economic value was shared with our stakeholders and we contributed ZAR7 billion to employees, reflecting our investment in human capital, ZAR4.8 billion was paid in taxes and royalties, supporting national development. ZAR7.7 billion was distributed as dividends to external shareholders, reinforcing the confidence in our business. Additionally, ZAR199 million was allocated to community initiatives, ensuring full meaningful socioeconomic impact beyond our operations. As pointed, I'm pleased to announce that the Board has resolved to pay a final dividend of ZAR8.66 at an overall group cover ratio of 1.8. This is a pass-through of the SIOC dividend and the cover of 2.5x on Exxaro adjusted group earnings. As previously signaled to the market, we aim to balance the level of cash retention with our growth strategy and also returns to shareholders. So taking into account possible downside scenarios in retaining flexibility, we earmark the cash retention of between ZAR12 billion to ZAR15 billion, excluding our energy project financing for our growth strategy. So considering the level of cash in the business, the Board has resolved to implement a ZAR1.2 billion share repurchase progress, which will be subject to prevailing market conditions at the time as well as the JSE listing requirements. Our cash retention will continuously be reviewed, taking into account the economic outlook and the pace of implementation of our growth strategy. All right. Then I've spoken a lot, then we will move to Slide 24, the outlook. So as we look ahead, the global economic landscape remains uncertain for us with due political tensions and policy shifts continuing to evolve. Whilst these international developments will undoubtedly have an impact on our business. Our focus remains firmly on the factors within our control. So closer to home, the formation of the government of National Unity has improved sentiment, fostering a sense of cautious optimism for economic growth. We're also seeing positive developments such as increased private investment in renewables, Eskom's progress on maintenance and transmission upgrades and accelerated reforms in port and rail. In 2024, South Africa's real GDP grew by 0.6%, driven by a strong fourth quarter after downward pressures in the earlier quarters. So we are hopeful that this will -- momentum will continue into 2025. On the logistics front, as you know, the network statement was released in December 2024 with an update in February this year, and that sets out the framework for private sector access to Transnet Rail network. There are some encouraging developments here, including the official opening of third-party access, access fees that prioritize efficient operations and also support long-term tenure for investment. We're also pleased with the Ministers openness to collaboration and the way industry feedback has been incorporated into the network statement. So going forward, we will continue to engage in areas where further improvements are needed to ensure the framework supports sustainable growth. Turning to the commodity markets. The seaborne thermal coal demand is expected to be influenced by geopolitical factors and also the energy security needs of each country. Domestically, any improvement in the local economy is likely to boost coal demand from local end users and particularly as Eskom works to address its operational challenges. That said, infrastructure challenges remain as we see with the recent railway breakdown on the RBCT Waterberg line due to heavy rainfalls. We continue to explore all available route to market to meet customer demand and also to unlock value. As always, our priority is to collaborate with the industry through public private partnerships and to maintain our sharp focus on operational excellence. By concentrating on what we can control, we're confident we can navigate the uncertainties ahead and continue delivering value for all our stakeholders. Our business is still impacted by, as pointed out, commodity prices, domestic structural challenges and developments, the levels of coal offtake and both the global and domestic geopolitical environment. As such, and as Mervin also discussed, we provide the following guidance for the 2025 financial year. Coal production and sales to be within the range of 39.5 million to 43.7 million tons, export sales to be within 6.65 million tons and 7.35 million tons and we have kept our coal sustaining capital guidance unchanged between ZAR2.5 billion and ZAR3 billion. On energy, due to the anticipated commissioning of the Lephalale solar plant, our energy guidance increases, and we expect it to be within the range of 780 to 810 gigawatt hours, which would consist of full year wind generation and half year solar generation for the Lephalale solar project. As stated previously, we will continue to exercise operational excellence to ensure we respond effectively to market conditions and customer demands strategically managing those elements within our control. Our sustainable growth and impact strategy remains intact, supported by our five strategic objectives of transitioning at speed and scale, making our Minerals and Energy business thrive and empower people to create impact and to become a catalyst for economic growth and economic environmental stewardship, and our aspiration to be carbon neutral by 2050. We are saying that in 2025, Exxaro is positioned to win and we will continue powering possibility in Africa and beyond for decades to come. The successful execution of our strategy will see us deliver a diversified portfolio of assets with the aim to have earnings from our coal business, energy transition minerals and a robust energy solutions business. We will accomplish this while continuing to integrate ESG principles into our operations. So in closing, we remain focused, ensuring that we are delivering safely on our strategy. We are also -- we draw confidence in our executive and management teams. So under their guard and leadership I can assure you, Exxaro is in good hands. We've got a combined executive experience of more than 300 years and long service record at Exxaro. Our executive and management team understands the business, the operations, the people, the communities and all its stakeholders very well. And as such, we are confident in our ability to execute the strategy and to continue creating stakeholder value. On that note, we are progressing with our growth strategy in minerals that power a clean world. We continue with our approach very diligently to assess opportunities aligned with our investment criteria. Also, as announced last month, Cennergi, our Energy Solutions business has entered into a partnership with G7 Renewable Energies in the Karreebosch wind farm, which has secured an agreement with Northern Platinum to supply 140 megawatts of power to the mines over a 20-year period. Cennergi owns 80% of the share capital in Karreebosch as well as 50% in the asset management company. This adds further 140 gross megawatts of net capacity to Cennergi's existing 297 megawatt bringing the total gross capacity of Cennergi to over 437 megawatts. This also diversifies Cennergi's customer base. With this deal close, Cennergi is also well on track to achieve its target to be a robust energy solutions business, who have managed capacity of 1.6 gigawatts by 2030. So Exxaro's success lies in its operational excellence. In 2025, we will continue to drive safety, remaining vigilant to prevent workplace incidents and fostering a proactive safety culture that safeguards lives and enhances operational resilience. We are currently, as pointed out, in the process of refreshing our safety strategy, and we will launch this refreshed strategy at our CEO Safety Summit in April of 2025. So with a portfolio of quality assets and through operational excellence, and our effective strategic initiatives, such as our early value strategy, our market to resource optimization, our product mix initiative, we will continue managing and optimizing costs to maintain our strong margins. We will maintain our collaborative approach in responding to the changing policy and the regulatory environment with agility. And now that we've also achieved the development of our decarbonization road map, the next step is to operationalize it within Exxaro and our operations. Remember, our road map is a living plan and we will continue to regularly review and update it as new technologies and innovations come into fruition. So guided by our clear capital allocation framework, we will maintain strong capital discipline while creating value for all our stakeholders. And now importantly, the most important topic, our people. So, as we look into the future, our aspiration is to remain an employer of choice, and we remain steadfast in that ambition. We recognize that at the heart of the achievement are the excellent people of the of Exxaro. By fostering a supportive and inclusive work environment, we will empower our people to reach their full potential, so that they will be able to continue to deliver results and secure the feature of Exxaro. As I conclude, I'd like to thank each and every one of them, whether you're at the coal phase, at the business unit, where you situated here at the connection for your dedication, your hard work and the resilience that you have shown in the past financial year. So, with that, thank you very much, [Foreign Language] Thank you.
Sonwabise Mzinyathi: Thank you, Riaan, and thank you to you, Mervin. This brings us to the end of our presentation. We now say goodbye to the 100 people that are joining us from LinkedIn. We wish you a very good day further.
Q - Tim Clark: It's Tim Clark from SBG Securities. Congratulations, Ben. Great appointment. Can I just talk a little bit about exports and alternative logistics and costs? Your outlook for exports for the next year is flat at 7 million tons. It looked like TFR did much better in the second half of the year than the first half of the year. So that implies that you're going to use less alternative logistics or it implies you're getting less from TFR. So just the split between your view of alternative logistics and TFR. And then with -- there are quite a lot of one-offs that you mentioned, Riaan, in your commentary. So perhaps we have to work through a lot of those one-offs. But your drop in Mpumalanga profitability was very significant. And so it sort of leaves one with the suspicion that Leeuwpan has got quite a big loss that it's carrying. And I wonder if you could give us some kind of sense of what happens at Leeuwpan and how Leeuwpan normalizes or where it might be in one year or two years' time, something like through this period, which is clearly a bit of a drag on Mpumalanga earnings at this point in time. So there's a few questions in there to do with alternative logistics versus exports, to do with Leeuwpan, and I appreciate some of that.
Riaan Koppeschaar: Okay. So I'll ask Sakkie to come and unpack a bit the logistics side. So definitely, I think cost is a big focus area for the group at the moment. We are not happy about the cost performance. As Mervin also pointed out, we're operating 20% below our production capacity. So having a big fixed cost base, that is feeding through into your unit cost, also not being assisted by lower production volumes where your -- the wider in your unit cost is now lower. But also, we did make use of the opportunity due to the lower production to do additional maintenance work at Grootegeluk and also some of our other mines. Tim, you are right. Leeuwpan is definitely not where we wanted it to be. A lot of focus is going into Leeuwpan. Remember, last year, we said we're consolidating the Leeuwpan pit into one pit that will produce more [53] type of material to the market. So definitely, Leeuwpan, a lot of focus is going on to that. Now also, you'll recall last year, we indicated that we signed an agreement with Eskom to take more Leeuwpan volumes to Eskom. And I think one of the big problems with Leeuwpan is rail. Leeuwpan is always very well set up if you can rail from Leeuwpan and with the current position, we're getting very few trains at Leeuwpan. And if you then don't have alternative markets, it is problematic. Now the one problem that we also faced was the Eskom offtake from Leeuwpan to Eskom, the volumes, we were not able to deliver the volumes that we were hoping to achieve. So definitely, Leeuwpan is a big focus area, but for that matter, all the other operations. We're looking at Grootegeluk, we're looking at Belfast, a big focal point because we -- I think we must almost take a view what is the new normal going to be. And we have to gear us according to that. The once-off items, I think, Tim, the one big one was insurance. So in 2023, we had a positive ZAR375 million on insurance as a result of accounting, they said we didn't need to expense it through the income statement anymore. We need to treat it as a deposit. So that benefit, that ZAR375 million did not occur this year. So that insurance product is now accounted for as an investment in our balance sheet. Then rehabilitation liabilities. So as you know, rehabilitation is also impacted. There's basically three factors. The one is your closure cost. I think the only big adjustments on the amount of closure cost at our Durnacol operation, we made provision for a water treatment plant. So that was a one-off that I think in future, that has now been provided for. And then as Leeuwpan with the new configuration of the mine, we also had a relook at the Leeuwpan environmental liability. So there was also an increase. At the other mines, it was fairly minor. And then the other big factor is also your discount rate. So how Exxaro does environmental liabilities, the discount rate that you apply to the liability matches the government bond rate. And as government bond rates came down, the liability now increased. So that is actually the biggest portion. So it's not really a cash cost, but it's the discount rate that we use. So that was also one of the other big items. And then, yes, so the logistics cost, I think always -- also there, we're not where we want it to be. As we pointed out stuff to Mozambique is still multi -- we're using a combination of truck and the road, but we are making good progress in that side to try and move everything to rail ultimately one day. But Sakkie, perhaps you can explain that and then also put it in context with FCA sales if we had to revert to FCA sales.
Sakkie Swanepoel: Thanks, Koppes. Thanks for the question that you promised you will not ask. So we will always prioritize RBCT as an export channel. It's the most efficient channel available to us. So I just want to give that comfort that whatever trains get to RBCT, that will be our priority. So looking at the '25 here, we do expect a bit more capacity to RBCT. We've seen a bit of an uptick specifically in February in support of this better second half that we saw in '23. So we hope that trend will continue, and we definitely do hope to get a bit of better export capacity to RBCT. But we will support with exports through Maputo. I think that brings me to the very important context that we must understand Maputo in. We've realized through our business plans that RBCT will not be able -- our current capacity in RBCT and with train allocation will not be able to support our business adequately, definitely in the short to medium term and most likely even in the long term. So for us, Maputo as an export corridor is not an opportunistic event. It is the development of a strategic alternative corridor. We believe the value of strategic optionality is underrated. And for us, it's important to create that optionality also because we need to move the volumes. To give an indication, is last year, we did not export the 1.8 million tons through Maputo. It means we will have had to deal with that in one or two ways. We will either have to sell that 1.8 million tons on the FCA market, which is giving us poorer returns than exporting the coal ourselves. But secondly, putting an additional 1.8 million tons in the FCA market will have seriously depressed prices in that market. So then even the other coal that we are selling in the FCA market will have performed worse. The only other option we have to not selling in the FCA market is to cut back production. And as Mervin has said, we are kitted out for much higher levels of production than we're currently able to supply given our logistics constraints and offtake impacts specifically at Grootegeluk. So if we were to take out another 2 million tons of production, in terms of what we have delivered, our view is that the impact on our business will have been much worse than the impact of higher logistics costs and evacuating the coal. So we're very comfortable that strategically, we're busy executing the right strategy, a strategy that's been approved by our Board that told us about two years ago, you cannot wait for one day when these logistics issues are solved. You need to, in the medium term, to find a way in a value-accretive way, obviously, to do that. The next question maybe to cover that, that's probably going to come is with prices having gone down nearly 20% since the beginning of the year, does it still make sense? And again, I think context is very important. We are not in a short-term game here. We're in a long-term game as a commodity company. In my 12, 14 years in this role, I've seen at least three times over the past more than a decade, where every single mine of us in Mpumalanga even make losses through RBCT. And if we were to stop there, we will not have had the business today. So it is important for us to look through the cycle as a commodity company and say we are developing something for the future. And we're very hopeful that the Maputo corridor is going to become competitive. We're the first one to say we're not where we want to be, but we're very hopeful we're going to materially reduce those costs to have a competitive export corridor.
Thobela Bixa: Yes. This is Thobela Bixa from Nedbank CIB. So I will ask a question that I think you should have expected around special dividends. So let me ask because you've indicated that you want to do a share buyback when that is subject to conditions. To me, this doesn't quite seem like a commitment. So could you perhaps tell us as to what the targeted time line is for the buyback? And then related to that is at current market prices, your share seems to place zero value on your net cash. So then the question is, how do you plan to unlock that value? And then to you, Richard, how close are we now versus where we were at interim results into coming to the market? And the reason I ask this question is exactly for what I mentioned earlier on that if the market is placing zero value to the net cash, it does mean that something needs to happen at some point?
Riaan Koppeschaar: So the share repurchase, as I pointed out, the quantum was informed to get us back to the ZAR15 billion. That's what we indicated to the market. We also, in the past, always indicated to the market that we'll always consider either this a dividend or a share repurchase. With the share price being depressed at the moment, a good option is the share repurchase route. And what you pointed out there is, obviously, we've got parameters. So if you go out here and you buy shares and the share price goes to ZAR300, perhaps we would not tomorrow commence with the share repurchase progress. So it's to comply with our parameters. And remember, with the JSE regulations, you can only do it when there's not price-sensitive information to comply with all the regulatory requirements. But the intention is as soon as we comply with all of that to start with the share repurchase program.
Thobela Bixa: Maybe just a follow-up, Riaan, on that. So what you're saying just within the next 12 months or so, you would -- I mean if all the conditions precedent are there, would you go ahead with the share buyback?
Riaan Koppeschaar: The intention is to start with it as soon as possible. So remember, when we last did a share buyback, we told the market, we'll only do it if the share goes ex-div. So we had to wait six weeks. This time, we're not necessarily saying that, but we just need to make sure we comply with all the regulatory environment to commence them with the share buyback. But the intention is not that it's be a protracted process. We want to conclude it as soon as possible.
Mervin Govender: I'm not going to try and unpack the valuation that analysts assign to Exxaro and where cash pays in that. But to your point on where we are in terms of transactions, we -- where we were midyear last year and where we are now, we have progressed a number of those deals. So what we had hoped would accelerate haven't. And we're in a position where we've definitely progressed but are not at a point where we can sign a deal. The positive news is that many of these engagements that we're working on are bilateral processes. So, we're not in a formal sales process that has a time line that has a commitment to binding offer dates. These are engagements between interested parties in finding the best deal for both sides. And we'll continue to engage until we think we've met -- we found that point that this is a value-accretive deal for ourselves and realizes value for the shareholders in the counterparty.
Sonwabise Mzinyathi: I think just to be a little bit more efficient. I'm going to take three questions and then we'll answer. So it was Mpumelelo, [indiscernible].
Mpumelelo Mthembu: Mpumelelo Mthembu of Absa Capital. I've three questions. So my first question is with regards to your cash cost. I just wanted some clarity on when you say additional burden remove at Belfast, does that mean your stripping ratio increased? If you could just provide more color on that? And in terms of your maintenance with your volumes going up this year, what does that mean for your cash cost going forward? And maybe the second question is with regards to stockpiles. Should the wage negotiations between Transnet and the unions still go well, what is Exxaro's strategy to manage your guys stockpiles for RBCT and I guess my last question is with your metallurgical coal sales, have you factored in. I assume it's how the risk of the demand not coming as you had expected?
Sonwabise Mzinyathi: And then it's Nkateko Mathonsi, the lady on the right.
Nkateko Mathonsi: Nkateko Mathonsi, Investec Bank. Firstly, congratulations, Ben. Looking forward to engaging with you going forward. I have a follow-up question on costs. And you talked to the fact that you're operating 20% below capacity. If we look at guidance for FY '25, you will still be operating below that capacity. So if you can talk to how -- or if you can just give us the trajectory of how you actually close that capacity gap. And if I'm not mistaken, it's actually very much related to the growth around Matla. So if you can give us a bit of guidance how you get back to that 48 million tons such that you would operate in line with your fixed costs?
Sonwabise Mzinyathi: I have [indiscernible].
Unidentified Analyst: Either Sakkie or probably Stephen Badenhorst will have to answer this one. We have a port RBCT, 91 million tons. The challenges has been around rail. We don't have a port issue. We have a rail issue. There are structural reforms which are busy taking place right now about enabling private sector participation in solving for those solutions. What I'm not hearing you saying is that you are not talking about an option which says that I don't necessarily have to use Maputo, but I can actually look at how as a coal industry, which is what is happening in terms of how we can actually bring in private sector participation on actually either fixing the rail capacity or actually looking at concessioning some of that capacity so that you can actually invest as private sector where now you can control your own destination about those volumes, which can go to Richards Bay. And I would like to really understand that because there's an RFI, which is coming out at the end of this month -- end of this month, which calls for private sector to indicate exactly what sort of participation they would want to be actually engaging on in terms of playing a critical role in that type of program. So I would like to have an understanding on that because that is a huge opportunity for Exxaro to concession between [indiscernible] and maybe to Pyramid South, whereby [indiscernible], whereby you have absolute exclusivity of that in terms of capacity and linking there with the rest of the coal industry from [indiscernible]. So there are a lot of other optionalities that are being presented to the private sector. I would like to hear how you are looking at that in terms of the response to the RFI, which is happening at the end of this month?
Sonwabise Mzinyathi: We'll go into responses. We'll go into responses, and then we'll come back for a last round in the room before we go online, starting with Riaan. Over to Riaan.
Riaan Koppeschaar: The first one was Belfast, the cash cost overburden removal. Did it increase the strip ratio, so you can perhaps quickly handle that one?
Mervin Govender: Sorry, my apologies. Yes, definitely, the Belfast strip ratio has become a problem when we were stripping the overburden. We moved from pit seven to pit four. That did create a lot of overburden that we had to remove. But I think the good thing is we're stabilizing now. We've managed to remove a lot more of that overburden. So -- and we expose a hell of a lot of coal now. So you should see a consistent strip ratio going forward. That was on the first one. Do you want me to the maintenance? Yes, the maintenance was a bit of opportunity maintenance we took at Grootegeluk on the plant and also some of the mining equipment. So there as well, we use the opportunity to do that maintenance. So we are set up better for this year for 2025. So we shouldn't see this huge maintenance costs come through unless you have some issue that you never expected to happen. But for now, we are comfortable that the plants are ready and the pit is ready to produce. Thank you.
Riaan Koppeschaar: Then the -- Sakkie, I don't know when you come -- you can perhaps talk about the private -- the PPP model that we're looking at. And then also the ArcelorMittal impact, I don't think we think that is a big risk especially at [indiscernible]. It's not a risk. And at Newcastle, we also don't think it's really a risk. And then RBCT, the wage negotiation that could have impact the Transnet wage negotiation.
Sakkie Swanepoel: Thanks, Koppes and thanks to all for the questions. Let me deal maybe with RBCT. Of course, we cannot speak on their behalf in their process of wage negotiations. But I think we've been long in the mining industry. You know these things are always a risk. These events at different times when you have to conclude wage negotiations with your labor partners. So yes, it's always a risk, and it's part of our contingency planning to the extent that we can employ other options, which again speaks to, for example, not having all your eggs in one basket, but having alternative export corridors. I again, not speaking on behalf of RBCT, but I know RBCT has excellent relationships with their labor force. So we're very hopeful that we can reach a good outcome there. On ArcelorMittal, as Koppes has said, no risk [indiscernible] we're aware of currently. But hesitant to comment on the Newcastle one because we've seen in the media, it's going a bit to the one side and then the other side. And ideally, one would like to do that analysis of the impact on us once a firm decision has been taken and implemented. But our current view given different scenarios is that Exxaro may not be negatively impacted should the plans at Newcastle go ahead, and we can talk to more detail about that one maybe at the appropriate time. Then turning to the whole matter of RBCT that [Nkateko] asked, I think, firstly, I want to say again, our priority will always be to maximize our utilization of our entitlement in RBCT. That's dependent on the amount of rail going to RBCT and it is dependent on certain conditions in the shareholders' agreement. We are most aware of what both of that means to us, and we have various initiatives that we are driving to progress both those matters. In the meantime, however, we have to find other ways of still moving our coal in an economic way to markets. And that's why the other avenues are very important for us. Then going to the portion of the question that deals with transformation or the rail reform landscape in South Africa, that's an area that we are actually very excited about. I've said this morning in one of the sessions we had South Africa and Exxaro is really blessed to have a [indiscernible] in that portfolio currently. I think she's doing amazing work. I think through the National Logistics Crisis Committee and all the related forums through Busa, through the Department of Transport, I think we've seen a huge amount of progress in that area over the past year or 2. And I remember a time where a lot of questions were asked about how relevant these things are, what it will mean to us. But I think we're very excited about the progress that's been happening there. We are also most excited about the role again that [indiscernible] and her department is taking in this whole transition of the rail landscape. We have very good engagements, both as an industry in RBCT as shareholders to look at what are the options open to us to play different roles in this environment, where we know TFR is constrained in terms of capital, but where industry potentially can step in and play a much bigger role. And in that regard, we have very good engagements with the Department of Transport, whether it's the independent regulator, the economic regulator, whether it is the PSP office being set up. And again, the people that's been put in these positions are technocrats that they really understand their business, and we are very excited about our engagements with them. We're very excited about the potential RFI that you referred to, looking very forward to what will come from that. And again, just to illustrate the change in landscape that we're working on, that RFI is an effort by Department of Transport to say to different players in industry and in the private sector, come and tell us what do you think what models can work. So we experienced a very positive since -- even the draft network statement where the engagement with industry and the feedback from industry were incorporated every time in the next version of the network statement we're seeing. So very encouraged about the progress. We think there's a very constructive role for industry, but also for Exxaro to play. It's a bit early to say exactly what that role will be. We will work through it. But yes, very encouraged by these developments, and we surely will to the full potential, see what Exxaro can do in that space with industry as well. And there was the question on the capacity, the 50 million. So that 50 million, so remember, currently, Matla is sitting at about 4.5 million, 4.8 million tons. And once Mine 1 is ramped up, Matla will go back to 10 million. But apart from that, there's also idle capacity at Grootegeluk. So if you look at Grootegeluk, between the Eskom coal, the domestic coal and the export coal, it's probably 4 million, 5 million tons that we're not producing. I think Belfast, we're almost at full capacity. At Mafube, we full capacity. And remember, as part of the optimization, we reduced capacity now at Leeuwpan. So Leeuwpan was previously 4 million ton mine. It's now a smaller 2.5 million to 3 million ton mine with the pit consolidation taking place. But that is the -- I think the big one for us is obviously Grootegeluk that you get the offtake at Grootegeluk to the previous levels again. Remember, in 2020, when was it '21, we exported 12 million tons. Yes. So compared to last year, 5 million this year 7 million ton. So unlocking Grootegeluk to increase, that is the big lever we need to pull. I don't know whether you want to add anything, Mervin.
Mervin Govender: I think we've always guided on 50 million capacity across our business, and that's still the case. And I think you touched on the Grootegeluk having the flexibility to ramp up. I mean we were set to produce 29 million tons of power station coal there. We're only producing about 23 million to 24 million tons now. So the capacity is there. Thank you.
Sonwabise Mzinyathi: So we will take one last round in the room, and then we're going online, starting with you, Brian.
Brian Morgan: Sorry, the old [indiscernible] asked the question I was going to. So, it's fine.
Sonwabise Mzinyathi: Thank you, Mr. Morgan. Okay. So, we have three questions online. The first you've partly covered, Riaan, it was around why didn't we consider a special divi. The second question is at what export coal price will trucking make no economic sense. And then the third one is really just around our strategy on the transition minerals, why we've selected the specific ones that we selected.
Riaan Koppeschaar: I think on trucking, Sakkie did cover it to some extent. As we pointed out, the logistics trucking is not only -- there's a lot of variables. It's what quality of coal you're trucking. It's the distance that you're trucking. It's to what port you're trucking. So -- and as Sakkie pointed out, you also can't be in and out of the market the whole time. There may be instances where you don't always make money, but your fallback position is then FCA sales. So all of those things are always in the pot. And I think as you go through this journey, we've also learned some of the mines and destinations that we used previously, we're not using them anymore. We saw over the long term, they're not going to make sense. So we're focusing on the solutions over the long term that we know is sustainable, that can make sense and that you can further optimize. So that is the one side of it. And then the second one was Yes. No, I think we did cover that.
Sonwabise Mzinyathi: [indiscernible] the rationale for minerals.
Riaan Koppeschaar: Transition of minerals. I think we do it quickly.
Mervin Govender: I think we've talked about this over the years. As a bulk commodities miner, the preference for the choice would be bulk commodities. And narrowing down the list of bulk commodities that fits an energy transition strategy, you're looking at manganese, you're looking at copper, you're looking at bauxite. And we've made certain rationalizations within that mix to exclude bauxite for now. And the Board has given us the additional mandate to look at additional commodities, which maybe don't fit the narrative of bulk mining, but are more industrial mining. And given our experience, past experience in mineral sands, we're quite comfortable looking at industrial minerals, which fit the battery narrative. So that expands it to commodities such as nickel, graphite, phosphate, et cetera. So we do have quite a wide mandate to look at commodities. But ultimately, they must meet our investment criteria, which is a return on equity, IRR, et cetera. So within that mandate, the business development team is extremely busy.
Sonwabise Mzinyathi: I've noted you [indiscernible]. I just need to call on. Operator, good morning, do we have any questions online on the call?
Operator: [Operator Instructions] At this time, we don't have any questions.
Sonwabise Mzinyathi: Okay. Thank you. Mr. [indiscernible].
Unidentified Analyst: This one is for Leon. Your pathway to 1.6 gigawatts. The next round of renewables, the margins are getting smaller and smaller. And therefore, just having an asset base is not going to give you the type of returns that you're looking for. How are you looking at getting to that pathway? In a manner that's going to actually also ensure that you get the right returns because us having assets for the sake of assets does not make sense if it's not complemented by something else that adds value?
Leon Groenewald: Thank you for the difficult question. It's difficult to have a boss that promoted the strategy. So let's unpack it. So the market to start with, is there a market? You always start with the market, is there a market in SA Inc. And if you look at how we see this market developing, there's various sources, but it looks like 30 to 50 gigs in the next 10 years. So our intent, and this is SA only, we will look elsewhere in due course. If we need to capture the remainder, it's probably 3% to 5% of that market. So you must say, do I have a realistic chance in the way that I'm set up, and I think we do. Looking at the returns. So also the way we go about it is pretty unique in the sense that most people in this market have a development mandate only. So development does take a bit of time. And if you have wobbles or in the process of getting permits, that certainly makes your target difficult. Fortunately, we are part of a bigger family, and we've got a buy and build mandate. So certainly, that helps. So from a volume perspective, that covers that. From a return perspective, life has changed since. We now see that if you only are an equity holder, you're not going to make the returns. You have to participate in the value chain. So from a development perspective, you've got to be part of that development chain. You'll see in [indiscernible], our recent transaction. We insisted in taking part in the construction management. We've insisted in taking part in the asset management. And we will look at others ways of participating in this value chain. From a services perspective, you also see that we say we will -- eventually, the goal is to be a solutions provider. So, it's not just a capital deployment partner. So we will have to look at all of those, and we're working very actively to play in that. So what it means in future to be successful, you've got to play in the value chain, you've got to be more integrated and the more successful players in due course will be integrated, and we're setting ourselves up for that and we're already doing that with our own operations. So, thank you for the question, thought provoking.
Riaan Koppeschaar: Just to add to that, I think also once you've proven you can do it, since we started LSP, this is actually how we landed [indiscernible]. The word gets out in the market, okay, they've now done it. And then we're actually being approached by people with opportunities. It's not that we need to go and search for opportunities the whole time.
Sonwabise Mzinyathi: All right. Okay. Sell-side analysts, please grab something to eat and then join us in the usual boardroom. To everybody else, thank you so much for joining us today. We appreciate your time. Have a great day further.